Operator: Ladies and gentlemen, thank you for joining the Forward Air Corporation’s Second Quarter 2018 Earnings Release Conference Call. Before we begin, I'd like to point out that both the press release and webcast presentation for this call are accessible on the Investor Relations section of Forward Air's website at www.forwardaircorp.com. With us this morning are Chairman, President and CEO, Bruce Campbell; and Senior Vice President and CFO, Mike Morris. By now, you should have received the press release announcing our second quarter 2018 results, which are furnished to the SEC on Form 8-K on the wire yesterday after market close. Please be aware that during this conference call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding the company's outlook for their third quarter and Fiscal Year 2018 and those forward-looking statements identified in the presentation. These statements are based on current information and our current expectations. As such, they are subject to risks and other factors that may cause actual operations and results to differ materially from the results discussed in the forward-looking statements. For additional information concerning these risks and factors, please refer to our filings with the Securities and Exchange Commission and the press release and webcast presentation relating to this earnings call. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. And now, I'll turn the call over to Mike Morris, Senior Vice President and CFO of Forward Air. 
Mike Morris: Thank you, Ryan, and good morning to everyone on the call. Before we get to Q&A, we would like to update you on a few strategic and other items. On the strategy front, our LTL group continues to make investments and drivers and expanded capacity to better serve our current customers, while we look to grow in the Expedited segment of the 3PL market, which we believe is a $2 billion addressable opportunity. While it remains early stages, we now have our tariffs loaded in roughly 190 transportation management systems and are continuing our focus on growing our brand, our revenues and our weight per shipment with our 3PL customers. Our Truckload business has completed its implementation of the McLeod operating system, and we'll now begin to leverage McLeod's load visibility and real time decision-making tools to grow our dry van and refrigerated offerings. Our Intermodal group is continuing to execute on its M&A pipeline, and we are pleased to announce the signing of a definitive agreement to acquire the assets of Multi-Modal Transport for $3.7 million. Multi-Modal is a Minneapolis-based premium drayage provider. We expect the transaction will close in a few days, and we anticipate that Multi-Modal will contribute $6.5 million of revenue and a little over $1 million of EBITDA on an annualized basis. We are now a top-10 drayage provider with an annualized revenue run rate of just under $200 million. We have a strategic road map of organic and inorganic investments, which we believe can grow this business to a $300 million run rate in the next two years. Finally, while our Pool Distribution group continues to strengthen its position in retail, where it does all of its business, we are also exploring other verticals where this final-mile distribution model makes sense, such as health care, hospitality, and parts distribution. In total, we believe that our strategic initiatives will broaden and strengthen our premium-service footprint and enable us to become a larger, wider-reaching, asset-light freight and logistics company. Regarding capital allocation, we repurchased roughly $8 million of stock during the second quarter of 2018 and have reduced our year-over-year quarterly share count by 2.8%. We did not incur any additional debt during the second quarter, and our leverage remains at roughly a quarter turn of EBITDA. Over time, we will continue to buy back stock because we believe in our growth initiatives. We will also look to optimize our capital structure by carrying a more permanent level of debt, which we do not expect will exceed one turn at EBITDA. One final item before we wrap up our prepared remarks. A few weeks ago, we announced that Tom Schmitt would become our new CEO. Tom is a proven, strategic leader with an extensive background in network-driven logistics businesses. He will join a strong management team that has deep industry and Forward Air experience. When Tom arrives in early September, Bruce will become Executive Chairman and will remain through May of next year to ensure a smooth transition. Actions were also taken in conjunction with this announcement to help ensure management team continuity. We will make further announcements as we get closer to Tom's start date, but overall, we're excited about our future and our growing ability to keep our customers businesses moving forward. With that, Ryan, let's open the line for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Todd Fowler with KeyBanc. Please go ahead.
Todd Fowler: Great, thanks. Good morning. Mike I was just hoping, maybe to start, if you can you give us some thoughts or some color around the pricing dynamics within the Expedited LTL segments? It looks like that base yields were up excluding fuel kind of low single digits. I know there's probably some impact of mix in the small weight per shipment, but if you could just talk about what you're seeing from a pricing front within the Expedited LTL business? And maybe how should we think about that going into the back half of the year would be helpful.
Mike Morris: Yes, I'll start, Bruce, if you want to jump in. So, for the period-over-period that you're looking at, Todd, recall we had a GRI in October that went into effect October 1, 2017. That was up to 3.9% with some higher minimums and new oversized charge to attack some of the cost that the lighter-weight freighter creating on our dock. We also had a June GRI that kicked in, in the middle of June, which was up to a 5.9% increase, with an increase to some of the minimum charges. So, the pricing dynamics have improved period-on-period because of these GRI's, which were intended to get at the higher cost they were facing in terms of our purchase transportation. Bruce, anything? 
Bruce Campbell: No, You, got it right. 
Mike Morris: Okay. And then you asked ex-fuel. So, I responded ex-fuel, we did have to increase our fuel surcharge in February by 2%.
Todd Fowler: Yeah, and all of that makes sense. And I guess I'm just trying to think about just as we look at the reported revenue per hundredweight being up 3% with kind of the two GRI's in that number. I'm assuming that there's a mix that's impacting that. Maybe if you could talk a little bit about the other factors kind of impacting the revenue per hundredweight in the quarter? 
Mike Morris: Yes. I mean, as you know, yield is not priced. So, some of the other effects that are in there, we continue to see the regionalization of supply chain. Our length of haul period-on-period was down a little over 1%. And that has a pretty powerful mathematical impact on yield. We also have a growth in our door-to-door offering. Our door-to-door shipments were up a little over 8%. And they drive a different mix of freights, you've got some varying weight-per-shipment and length-of-haul characteristics that can get involved in the math of reported yield. When we, internally, strip that out and we look at revenue per ton per mile, the business is improving. That's been up about 6% year-on-year.
Todd Fowler: Okay, that helps. And then assuming just kind of the general comment would be, it seems like, and I'm just kind of putting together some of the comments, but it feels like that the pricing environment is favorable right now. And there's no big pricing competition that you're experiencing? I know there's always pricing competition, I guess I shouldn't say but... 
Bruce Campbell: Well, I think the pricing environment is indeed good. But the other side of that shows a traught environment. So, a number or a large percentage of what we gain in an increase goes to our owner operators. They've had three races in the last year and two months. So, we absolutely have to have a good pricing environment.
Todd Fowler: And, Bruce, to that point, since we think about the margin profile in the LTL segment in the incremental margins here this quarter, is the expectation that you can still drive margin improvements sequentially through the end of the year? If you're seeing this sort of tonnage and yield growth, or how does the cost part of the equation balance what you're able to drop down, so the bottom line and the leverage that you have in the business right now?
Bruce Campbell: Yes, as we got to forward the key, the number or the key cost period that we're focused on is purchase transportation. Having a number of programs and to bring on more and more owner operators. If we do that, and I think we will, that basically goes straight to the bottom line. I mean it's a great opportunity for us as we go through the year. But we have to get more and more owner operators on board. And, again, I think we'll do that. But the margin – the leverage in the Forward Air Expedited segment is all about what we can do in purchase transportation. Because all the other costs are really being managed extremely well. So, we – if we can just get that PT number down, we'll be in great shape.
Todd Fowler: Okay. And then just what is your thought, I mean kind of where you're at from a recruiting standpoint? I mean are you caught up with the recruiting? Is it something that you feel you have to put in more owner-operator pay increases going forward? Or how – what sort of help would you give us as we think about their cost line and going into the second half?
Bruce Campbell: Yes, that's a hard one even to call, because every time we think we've got it right, somebody comes along and – because they don't know how to recruit and the only thing they know how to do is up their pay. So, we have to stay competitive. Right now, we think we're in really, really, good shape. We have differentiated team pay from single pay because they should earn more. And we think that'll help us in the future. But next week, Todd, somebody will come out and tell us they're paying their owner operators $2 per month.
Todd Fowler: Yes, okay. Shifting gears, a little bit, on the LTL, Expedited, Truckload side, Mike I understand the comments about getting McLeod up and running. It sounds like that there's a little bit more of a focus on growth. The revenue's been down a little bit here in the first half of the year. Does that trend start to reverse as you move into the second half of the year? Or is the focus not really on revenue and that segment more on profitability? Just how do we think about growth in that segments and then profitability for the rest of the year?
Mike Morris: I think profitability growth would come first and then revenue growth would come second assuming we can get the fleet count up at TLS. If you take a step back, this – I think last call I drew an analogy to a 4-act play, we took a – we played the long game and honored some contracts as capacity tightened into the fourth quarter of last year and incurred a loss in this segment. We went to break even in the first quarter as we worked on contract repricing and reducing our volumes where it made sense to do so. And now we've turned the corner and gotten back into profitability. I think going forward, it's a focus on enhancing that profitability while we try to grow the fleet. And then if the fleets get larger, the revenue should pick up as a result.
Todd Fowler: Okay. That makes a ton of sense. And then just lastly, on the guidance, sequentially. I know that 3Q can be down from 2Q. Are you just factoring in normal seasonality? Or is there something in the second quarter that you felt was particularly strong and may not recur in the third quarter? It was kind of a step down in the guidance. I know that you've got the GRI coming in, which we felt would've helped sequentially. So, just maybe to high-level helping us think about your third quarter expectations relative to 2Q?
Mike Morris: Well, the – sequentially, the third quarter is probably more of the same, where you have macro strength, you've got good volumes. But at the same time, you're facing headwinds on purchase transportation. From a forecasting perspective, this purchase transportation is the hardest thing for us to predict.
Todd Fowler: Okay. So, it sounds like if the recruiting efforts come in better that maybe helps the numbers and if it continues to be a difficult recruitment market that's the difference in the ranges?
Mike Morris: It's our biggest cost lever.
Todd Fowler: Okay, got it. Bruce, congratulations on everything. Thanks for your help. My parting gift is no question on Pool Distribution today.
Bruce Campbell: Well thank you very much. I appreciate. You're... 
Todd Fowler: No seriously, thanks for everything.
Bruce Campbell: You’re more than welcome.
Operator: Our next question comes from the line of Ben Hartford with Baird. Please go ahead.
Ben Hartford: Thanks for the time guys, and I'd like to offer Bruce, congratulations on a remarkable career, and hope everything goes well in retirement.
Bruce Campbell: Thank you very much. 
Ben Hartford: May be in that vein, can you provide some context behind Tom's hiring? And I know he won't begin until September. I imagine you will have full details then, but what it was about his background? And how you see it as being congruent, or perhaps even, accelerating the efforts to continue to diversify and expand the addressable market within the core Expedited LTL business and continue to grow the supplemental businesses as well?
Bruce Campbell: Well, I would start by telling you a bit about the processes we've been in for over three years. And when I say, we, the board members who were on that search committee, and myself. I think they did a, just a remarkable job. So, we were not in a hurry. I didn't lay down any dictates that said I'm leaving on May 4. We just wanted to work through and find the right person. When we met Tom, his background obviously, with FedEx, Purolator and now Schenker, it's strong for a company like ours. He has, I think Mike said earlier, the network background knowledge. I think the big thing that we really, really liked about him is as Forward Air goes forward, in the past, ourselves in marketing was not really overly refined, because we were dealing with one type of customer base, the forwarder, the international forwarder and the airlines. And as we expand, as Mike talked about earlier to these other product lines, we really need somebody with that type of market expertise. So, Tom's big strength to me was his marketing and sales strength. And he's at Schenker now, so, obviously, he knows a forwarder. So, we're really excited about the knowledge that he brings here. We don't need – and this is not to make light of his skill set. We don't need operators to come in. We have operators in our company now that are extremely strong. Where we do need some assistance is to improve our sales and marketing strategy as we expand into new market. So, I think he's going to be great.
Ben Hartford: Yes, that's good. To that point, Mike, I think you had said that you're on a 190 TMS systems as you roll out this 3PL initiative. What is the target number? If you will, if there is a target number of systems? And again, with Tom coming on board and focusing more on the sales side, how does this specific initiative help accelerate? What do you guys have underway there in Expedited LTL?
Mike Morris: There isn't a target, but I'll tell you, 190 puts us in a lot. I mean the sandbox that we're in now is pretty big. And we are inside of the systems for many of the largest 3PLs. So, I wouldn't think of it as a target. We'd used it as a way of showing progress. We are starting to see solid improvements in our tonnage, improvements in our weight per shipment on a percentage basis, but they're coming off a low base. And so, what we need to do is continue to get our brand out there, have people recognize us, and then capture opportunities and lanes where we have capacity and could use the density. 
Ben Hartford: Are you – sorry to cut you off, are you finding that those early returns, I know it's off of a small base, but the growth aside, are you finding that the contribution to increment the margins and therefore, overall margins are consistent with budget or plan? Could you maybe talk a little bit about the success of driving additional density and improving margins based on what you have seen to date?
Mike Morris: Yes, I mean, I think the team is actually ahead of its internal plans, in terms of the contribution that 3PL is bringing. But when you look at the size of the business unit, it's still a small number compared to the legacy operation. But we are seeing good progress. And we have to, you know this is – when I say it's early stages, it still is early stages. I mean we're still growing our capabilities and growing our brand, and that's going to take a little while to get even greater traction. But what we have right now, we are seeing the type of improvements that we had hoped in terms of revenue growth rates and absolute levels of revenue and weight-per-shipment growth rates and absolute levels of weight per shipment and the length of the shipment.
Ben Hartford: Okay. And then, can you give us the number or the percent of broker power of miles in the second quarter relative to a year ago?
Mike Morris: Yes, and you mean in Expedited LTL broker power was 30.2% of miles, compared to 11.3% of miles in the year-over-year quarter.
Ben Hartford: And do you expect that percentage to rise or fall in the back half of the year?
Bruce Campbell: It better fall.
Mike Morris: You tell me, where the Truckload market's going to go, and then I'll answer your question.
Ben Hartford: Sure. Okay, that’s fair. I appreciate the time guys.
Mike Morris: Thank you, Ben.
Operator: Next question will come from Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hi, thanks. Morning guys.
Mike Morris: Morning.
Scott Group: So just a couple of quick ones. Can you give us monthly tonnage on the LTL side in July?
Mike Morris: Yes. Just scanning my notes here, hold on. For April, it was up 8.7%. For May, it was up 10.7%, and for June, it was up 6.5%.
Scott Group: And any July-to-date numbers?
Mike Morris: Yes. July to date, we've been up 2.8%.
Scott Group: Any thoughts on that deceleration from double digit in May to low single in July?
Bruce Campbell: Basically, Scott, the difference is, we have become a bit more selective in what we haul, in particular, in eliminating for the most part distributions, what we call distributions. And that's basically the change in volume. It is not an economic overview, it's strictly us being more selective.
Scott Group: So, should we see Bruce, a big-bang acceleration in yield's growth in the third quarter if tonnage is slowing?
Bruce Campbell: Right. I think we should see a big yield. We'll have the full impact of the June rating increase for the entire quarter. So, yes, we're – we sincerely hope it's going to be up. We should see it go up. But again, you have to rely on, hey is the mix going to stay the same? Is the length of haul going to stay roughly the same? All those type of variables, it's important to yield.
Scott Group: Right. Yes, I mean, I get that. But going back to I guess the first question, right? We're in this great environment for pricing. And we're seeing TLs get double digit and in some case 20% pricing, LTLs are seeing mid-plus pricing and some-high single pricing. You're dealing with some cost things, sounds like the purchase transportation depending on what your competitors do is somewhat out of your control. Why are we trying to get double-digit pricing here?
Bruce Campbell: Well at some point, it [ph] would put our customer out of business, that's one reason. We have here them with, in essence, three-rate increases in the last 10 months. The last increase was approximately 6%. The net to that was, depending on the week between 3% and 4%. So, as we go forward, we think that's a good number for the time being. That can change tomorrow in this environment. So, we're not going to sit here and say hey, that's – we're locked in on that for the rest of the year, because so many things change in this environment as you know better that we just have to stay on our toes.
Scott Group: Okay. and then, maybe just last question. Can you just big picture share your long-term margin targets for each of the segments where they stand right now?
Bruce Campbell: Well, if perhaps [ph] we like to help you out, we can get our purchase transportation in control. In a good environment, you're looking at 15%, 16%, 17% off margin, that can push in rubles [ph], but when I say that, but it's doable. Truckload probably in the 8%, 7% range, again, assuming a good environment. Our pool should be, on an annualized basis, between 5% and 7%. And you could take it up a little bit higher if we're able to bring in different verticals. Because that will help us in the beginning of the year. And then on drayage, with that team, which is an outstanding team, I think at worst, they are at 8%, but have a real opportunity to be in double digits, all with time.
Scott Group: Okay that's helpful. And congrats, Bruce, on the upcoming retirement.
Bruce Campbell: Thank you very much.
Operator: And the final question we currently have in queue comes from the line of Bruce Chan with Stifel. Please go ahead.
Bruce Chan: Yes, good morning gentlemen. Nice result. I hope the market gives you credit for it here in a few minutes. And Bruce we're certainly sad to see you go. I guess, the upshot is that it's going to be a little less confusing for me with only one Bruce, but congrats, and it's certainly been very nice working with you.
Bruce Campbell: Thank you.
Bruce Chan: Just to begin with the LTL business on the heavyweight industrial push, Mike, I know you mentioned getting your name out there has been one of the kind of big components of that strategy. Can you sort of elaborate a little bit more, from the sales side, about kind of what needs to be done between loading your tariffs on the TMS systems and then actually winning the right type of freight?
Mike Morris: I think it's just steady progress at having 3PLs learn more about who you are, so then when you show up on these screens, they're not going, who's Forward Air? So, I think it's just the sales force executing on their strategies to keep staying in front of the 3PLs and showing them our capabilities set as an LTL provider. As you do more shipments, you build more of a reputation. So, it takes time to build.
Bruce Chan: Okay. Great. And you talked about sort of innings or acts of a play a little bit earlier. I mean do you have a sort of similar prognostication about kind of where we are in terms of adding that 3PL business?
Mike Morris: I don't. It's something that should become a part of the company for a very long time. So, I don't think that there's some mountain top, and there it is and it's this far away. I mean, we're looking to grow our capability set for all of our customers in Expedited LTL, our forwarders, 3PLs, the various intermediaries that we serve and having a door-to-door offering is an important part of that evolution. And being able to sell in end-to-end solution across markets is an important part of our growing capabilities.
Bruce Chan: Got it. That's very fair. And then switching to, I guess, a different type of tariff, there has been a lot of talk about some of these trade and tariff issues. This has sort of been the topic or raison [indiscernible] about peak cycle fears, as far as your Intermodal business is concerned, have you seen any signs of these issues cropping up? Any indications of early-peak shipping to get around some of the trade issues?
Bruce Campbell: We've have nobody, specifically, no customer come to us and say hey, this is what we're doing. Obviously, we think some of that's going on. From what I've read, I don't think it's near as big as people are publishing. I think it's just a little bit of precaution by the shippers. We expected freight to be as good – or the Intermodal to be as good as it is now. We happen to seen it just blowup in terms of high volumes. I think we will see continued good volumes for the balance of the year. But we just simply can't see where they – where we could support a statement that they have moved it forward.
Bruce Chan: Great. Well, that’s very helpful and that’s all I have. Bruce once again, congratulations there. Thank you very much to both of you.
Bruce Campbell: Thank you.
Operator: We do have another question that's queued up. Comes from the line of Tyler Brown with Raymond James. Please go ahead.
Tyler Brown: Good morning, guys.
Bruce Campbell: Good morning.
Tyler Brown: Real quick on Intermodals. So, we hear a lot of anecdotes about, what I guess I can only characterize as a crazy drayage market out there. But frankly, I'm still little unclear whether a really tight dray market is holistically positive or negative for you. So, on the one hand, you've got to think it offers upload and pricing opportunities, but it also probably drives up PT. It seems like EBITs moving in the right direction, but just how do we think about an over-tight dray market through your Intermodal segment?
Bruce Campbell: Well, so far, it has not driven up PT. We've been able to really throughout the balance of the last year drive price increases, which has for most part taken care of any increased PT. When the market is busy, like it is, we're able to get more turns per driver. It's just easier to operate when you have good volume numbers. So, I don't see the quarterly correlation, but the year isn't over.
Tyler Brown: Okay. So, when we think about EBIT kind of over the next couple of quarters, is this $5 million to $6 million kind of a good run rate?
Bruce Campbell: Probably.
Tyler Brown: And then given maybe the tightness in the market lots of loads out there, do you think that opens up or closes down M&A opportunities. I appreciate you announced the small one today, but do you think that, holistically, is a good or bad thing for M&A?
Bruce Campbell: I think it's neutral. If you look at the drayage market, it's really 30 years, 40 years old. It's relatively new compared to LTL or Truckload. And what's happening here – the guys or guy – and ladies that got into that business 30, 40 years ago are getting old like me. So, they're looking for ways – it's time for them to find an exit strategy. If we had a lot of opportunities there, again, I think it's just strictly factor of people are getting older and they're looking for exit strategies, and nothing more than that.
Tyler Brown: Okay. And then you talk about getting up to $300 million, but does that include any move into the domestic market? Or is that strictly international?
Bruce Campbell: Well we do a little bit of domestic. So, we don't really define it that way. We define it by who the customer or the competitor is that we're attempting to buy. So, we make sure they have good business, they have good drivers, they have good customer relations, and then we go forward.
Tyler Brown: Okay. And then just my last one on the integration effort when you do a small tuck-in. What's the process? Do you typically move it onto one centralized system? Maybe centralized dispatch? Or do you run separate systems?
Bruce Campbell: No, no. We go immediately to our systems. We have an acquisition team on our drayage side. And these guys and ladies are so good. So, they will – when we finalize Multi-Modal, they'll go out there, implement our systems, implement our way of doing things. Even if there's nothing wrong with Multi-Modal, we just have to get everybody on the same platform, which is critical to us. So, we can drive the cost efficiencies that we want.
Tyler Brown: Right. Okay. Thank you very much.
Bruce Campbell: Thank you.